Soei Shin: Welcome to Nikola Corporation's third quarter 2024 earnings and business update call. Joining me today are Steve Girsky, President and CEO and Tom Okray, Chief Financial Officer. A press release detailing our financial and business results was distributed earlier this morning. This release can be found on the Investor Relations section of our website, along with presentation slides accompanying today's call. Today's discussion includes references to non-GAAP measures. The presentation includes adjusted EBITDA, non-GAAP earnings per share, adjusted free cash flow and other non-GAAP measures. These measures are reconciled to the most comparable U.S. GAAP measures and can be found at the end of the Q3 earnings press release we issued today. Today's discussion also includes forward-looking statements about our future results, expectations and plans. Actual results may differ materially from those stated and some factors that could cause actual results to differ are also explained at the end of today's earnings press release on Page 2 of our earnings call deck and in our filings with the SEC. forward-looking statements speak only as of the date on which they are made. You are cautioned not to put undue reliance on forward-looking statements. After Steve and Tom's prepared remarks, we'll take questions from our stockholders and then conclude with questions from analysts.
Steve Girsky: Thanks, Soei, and good morning, everyone. Welcome to our third quarter 2024 earnings and business update call. Year to date through the third quarter, we had record sales of hydrogen fuel cell electric trucks, a 78% growth in fuel cell electric vehicle fleet adoption and a nearly 350% increase in hydrogen fuel dispensed at our commercial stations. We also returned 78 BEV 2.0 trucks back to end fleets and dealers. With every truck delivered and fueled at our stations, we continue to deliver proof points to the market that zero emission trucks are driving the future of Class 8 mobility. Program to date, Nikola fuel cell electric trucks and battery electric trucks have accumulated over 4 million validation miles, avoiding over 6,000 metric tons of CO2 tailpipe emissions, which is equivalent to the emissions generated by over 1500 gasoline powered passenger cars in one year. The third quarter is an example of how we're executing our strategic and operational objectives by strengthening our resolve to push forward, meet the demands of our end fleets, and lay a path for a sustainable future. First, at the end of Q3, we announced we had wholesaled a record 88 hydrogen fuel cell electric trucks, firmly within the guidance range of 80 to 100. We continue to dominate the heavy-duty fuel cell electric vehicle market in North America with over 90% share based on the most recent bulk registration data. We also expanded our dealer network for the first time since the launch of the fuel cell electric vehicle in Q3 2023, allowing more access to both Nikola fuel cells and BEVs in Southern California. Second, we are building momentum in the zero-emission ecosystem. Currently, we're the only OEM to offer two zero-emission powertrains on one commercial Class 8 platform in North America. This speaks to our unique ability to meet the diverse business needs of our end fleets. Regarding fuel cell electric vehicles, we're the only OEM expanding the market or increasing the pie. As the market leader and pioneer, we're also driving end fleet adoption. Year-to-date, in service fleets have grown 78% to 16 distinct end fleets from 9 in Q1. Across both powertrains, 32 discrete end fleets have deployed Nikola fuel cell or battery electric trucks. Quarter to quarter, we're proving there's a market for heavy-duty zero-emission vehicles in North America. Third, we are reiterating our year end fuel cell electric vehicle guidance volume of 300 trucks to 350 trucks. Fourth, as we mentioned, the BEV 2.0 is back on the road. Program to date, we've made solid progress on the recall and have returned 78 BEVs back to end fleets and dealers to overwhelmingly positive feedback. Moving on to the business update, we had record sales of 88 fuel cell electric vehicles to our dealer network, up from 22% last quarter. On the retail front, we continue to see strong organic growth from existing end fleets. National fleet partners such as J. B. Hunt, Keenan Advantage Group, and DHL recently announced deployment of Nikola fuel cell electric vehicles and noted the important role we play in not only helping them meet their sustainability goals, but those of their end customers, Nestle and Diageo. Nikola will support Diageo operations with the deployment of its first behind-the-fence hydrogen fueler at its campus in Plainsfield, Illinois. N fleets are delivering household goods to their final destinations wherever that may be, all with zero tailpipe emissions. Sustainability drives good business and Nikola stands tall with them. We're also excited to welcome GTS Group into the Nikola dealer network in Southern California. GTS introduced Next Generation Truck or NGT as a new division created for the sales and service of Nikola trucks. What's exciting is that Nikola is a catalyst for dealers like GTS who find value in diversifying their business into zero-emissions Class 8 trucks. The additional dealer brings the number of Nicholas sales and service locations up to 19 across the U.S. We're pleased by the traction we're gaining from demos, especially in Canada. Loblaw Supermarkets completed its trial of the BEV 2.0 with high praise for its performance and range. Tim Hortons Restaurants will begin demos of both the fuel cell and BEV shortly as they evaluate the best fit for its short and long-distance routes. Our dealer partner, ITD, is ready and waiting to support max charging as it has recently built a 400-kilowatt charging station in Toronto. As a reminder, we launched Canada's first modular refueling station at a dealer with ITD last quarter. Together, we are building out the zero-emission ecosystem for the benefit of all. We're building momentum in the zero-emission ecosystem, exploring uncharted territory, testing new technologies, and leading the way for others to follow. Every day, our in-service trucks transmit extensive field data that is analyzed and used to make our trucks a better experience for our end fleets. Likewise, every kilogram dispensed within the Hyland network helps inform our fueling partners and suppliers with the continuous development needed to sufficiently meet the offtake demands on this largest scale. The more trucks we deploy, the more they fuel and the faster the ecosystem reaches stabilization in the learning curve. Nikola stands alone in these pioneering efforts. To date, 16 fuel cell electric vehicle in service and fleets have accumulated over 1 million road miles, up from nine fleets and 120,000 miles in Q1, validating the average fuel economy benchmark of 7.2 miles per kilogram. The data point that's really telling of the fuel cell electric vehicle's capabilities is that since last quarter, the total number of runs exceeding 400 miles before fueling has increased to 285 from 192 runs, up 48%. We are seeing that as fuel availability increases and fleet operators get more comfortable with the technology, they are pushing the fuel cell electric vehicle to perform the way it is built to. For the battery electric vehicle, 19 end fleets have accumulated over 715,000 road miles since putting the BEV 2.0 back into service. The average distance between charging has increased 10% to 143 miles from 130 miles last quarter. Like the fuel cell electric vehicle, end fleets are pushing the BEV to perform to expectations. Since its return to the market, the total number of runs exceeding 200 miles before charging has grown to nearly 950 or 27% of all runs. On a converted to diesel basis, our SCEVs continue to outperform the average Class 8 truck on fuel economy and avoidance of tailpipe emissions. The average miles per gallon diesel equivalent of our fuel cell electric vehicle remains constant at 8.0 or 23% better than the Class 8 fuel economy average of 6.5 miles per diesel gallon equivalent per the DOE. In total, across both powertrains, we estimate our end fleet operations have avoided 2,700 metric tons of CO2 tailpipe emissions. Moving to Chart 7, we expect to deliver 10 HYLA fueling solutions by year end. We are focusing our strategy on providing more support at existing stations to better serve our customers as we scale. Meanwhile, we continue to make progress on stations slated for Q4 as the HYLA team engages daily with local jurisdictions for site approvals and permitting. In fact, we're in the final stages of approvals for several Northern and Central California cities, which further strengthens the north south I-5 freight corridor. Operationally, over the lifetime of the entire HYLA network, we have recorded over 5,900 fueling events, dispensing over 210 metric tons of hydrogen for an average of 36 kilograms per fill. The year to date ramp-up in mobile hydrogen refueling stations has been very strong. Since we began measuring commercial fueling operations in Q1, total hydrogen dispensing has grown nearly 350%. Moving on to Chart 9, we are excited that the BEV 2.0 is back on the road hauling freight and validating its use case. Program to date, we've returned 78 BEVs back to the market to overwhelmingly positive feedback. Of the many lessons we've learned, one is of its resiliency. These last 12 months have been a story about the BEV's ability to withstand challenges, recover from failures, and emerge as an adaptive and evolving truck without compromising performance. For example, one end fleet carrier optimizes its line haul operations for a major consumer company by carrying high-value, low payloads from Northeast ports to the Midwest with our BEV 2.0. When the load has cubed out before it has weighed out, the BEV 2.0 is a perfect fit. Field data tells us that this VIN completes the over 800 mile run over days with five charges at an average distance of nearly 160 miles between charges. Overall efficiency for this run is 2.5-kilowatt hours per mile, a more than decent measure considering the average speed of 60 to 70 miles per hour with limited regenerative braking on this relatively flat route. Most importantly, the BEV 2.0 is the truck of choice for this end fleet carrier to meet its client sustainability guidelines to source low-carbon or carbon-free logistics services. Another carrier deployed the BEV 2.0 to haul for a major steel manufacturer in the Southeastern U.S. This end fleet maximizes load capacity with route optimization, all the while meeting its clients' preference for zero-emission routes. In fact, one quick midday charge enables the N fleet to double its productivity by running the 160-mile run twice a day. According to the N fleet, no other BEV has the range nor the capability to manage the payload against the strong winds along this route on one charge, let alone twice. These anecdotes are examples of how the BEV 2.0 is adapted in the marketplace to meet and exceed end fleet expectations. It is the truck of choice not only for its performance, but also to meet the sustainability goals of end fleet partners. The BEV 2.0 is back. Passing it over to Tom to cover the financial results.
Tom Okray: Thanks, Steve. Chart 10 contains our financial highlights. Regarding the top line, in Q3, we posted gross revenue of $33 million versus the record of $31 million revenue reported last quarter. The increase in revenue was primarily due to higher wholesale deliveries. On a net basis, revenue was negatively impacted by $8 million associated with the repurchase of 20 BEVs. We view this as a timing event as we have a PO in hand to deliver these units to another dealer. ASP for the fuel cell vehicles in the quarter was $361,000 down 7% from Q2. While we expect softer ASP as volume increases, we are pleased that over the last four quarters of sales, the average ASP for fuel cells has held at approximately 370,000 units per truck. For the third quarter, we reported a gross loss of $62 million compared to a gross loss of $55 million in Q2. Again, the BEV returns were the biggest headwind, partially offset by higher fuel cell wholesale volume. With respect to cash, our unrestricted cash declined $58 million from Q2, ending the quarter with $198 million. Cash was helped by net ATM proceeds of $20 million and other financing activities of $75 million. We are examining every opportunity to optimize cash. We estimate that our existing cash is sufficient to fund our forecasted operating costs and meet our obligations into, but not beyond Q1 2025. We continue to seek to maintain sufficient capital to support our business. Moving on to Chart 11. For fiscal year 2024, our guidance for fuel cell wholesale deliveries remains unchanged at 300 trucks to 350 trucks. Our flywheel-based business plan remains unchanged, building scale to enable us and our supplier partners to improve and optimize the unit economics. While we believe that the fuel cell truck is the best option for most of our customers' use cases, we also believe that our BEV truck plays a role in most national fleets. Therefore, we continue to manage allocations between producing fuel cells and remanufacturing BEVs to support the needs of our customers, while meeting market expectations. Back to Steve for closing remarks.
Steve Girsky: Thanks, Tom. I'd like to close with a video reiterating the key message that we have two powertrains, one platform, both zero emission. Few weeks ago, our team drove two trucks, one fully loaded from our Phoenix headquarters to Bentonville, Arkansas. The team drove up 6% grades to Payson and then on to Winslow, Arizona. They followed I-40 through New Mexico the second day, Texas and Oklahoma the third day, and reached Arkansas on the fourth day. The trucks were charged over the driver's lunch breaks and over dinner in the evenings. The loaded BEV’s range was 210 miles to 310 miles per charge, while the Bobtail range was 380 miles to 490 miles per charge. Both trucks kept pace with the highway semitruck speeds of 65 miles to 70 miles an hour and performed as expected. The trucks were 100% reliable and had plenty of power to conquer the grades and arrived quietly and efficiently after traveling 1200 miles at Bentonville. Operator, please start the video. [Audio Video Presentation]
Operator: This concludes our prepared remarks. I will now hand the call back to Soei for stockholder questions.
A - Soei Shin: Thank you, operator. We will receive questions from retail investors through the Says platform, most of which can be summed up into three questions. The first question, in the long run how and when do you see the company being profitable?
Tom Okray: Thanks, Soei. I'll take that one. Just to be clear, and as we said in the prepared remarks, our flywheel-based business plan remains unchanged. That said, we're optimizing our operations to ensure that all aspects of the business are lean and ready to scale. In this regard, even though it doesn't jump out at you in a lot of the numbers, we've improved on many fronts. Winning national accounts remains key to executing this strategy. And as evidenced by the past quarter, we're getting traction and we're making headway here. From a corporate sustainability perspective, Nikola is the first mover advantage allows us to meet the needs of companies who seek to reduce their Scope 3 emissions now. We have the fuel cell, the battery electric truck, they offer real zero-emissions solutions for any company that relies on logistics services to transport and deliver their goods. We're working with these national accounts and they're demoing with us and buying from us.
Soei Shin: The second question, Nikola has the ability to flex production of both the FCEB and BEV. Which truck is more profitable? Will you continue to offer both?
Steve Girsky: I'll take this one, Soei, and Tom. So, we've always harped on with one truck platform, two powertrain options, all zero mission. But up till now, we've really only had one or the other in the market, either the BEV or the fuel cell. As we move into next year, we will actually have the ability to offer both in the market as we continue to return these BEVs and we can meet --- we can flex demand to what customers want. So, as we make progress through the recall next year, we are getting a pull from the BEVs and we will start selling these BEVs from Nikola inventory and I should point out the BEVs we will be selling from Nikola inventory will be cash contribution margin positive.
Soei Shin: Thanks, Steve. The last question, is Nikola actively looking for partners that can provide capital to support the company?
Steve Girsky: I'll take this one also. We are actively talking to lots of potential different partners who value what we do and value what we built. It's because we've been doing the hard work out front building the framework and we have proof points. We're on the road today with customers. We're building stations. We now after working on this for a year have the ability to connect Northern California and Southern California. We have 32 distinct end fleets and growing that have deployed our trucks and there's a market for Class 8 zero emission trucks. So, we are looking to build the coalition of the willing, coalition of like-minded companies that want to pursue and push zero-emission forward because that's all we do. Companies that value our battery truck that have value range versus others and user experience. Companies that value our fuel cell truck, which gives you even more range and less weight. And companies that value the network we built in California, the hydrogen refueling network we built in California. So, we're actively pursuing all of them.
Tom Okray: Yeah, if I could just amplify that a little bit what Steve said. We are looking for these like-minded partners who have stated corporate wide decarbonization goals for the next decade. Hydrogen producers who view hydrogen as a viable energy growth vector and automotive OEMs who bring either light duty or heavy-duty fuel cells to the market. Together, we form a hydrogen economy that we believe can thrive.
Soei Shin: Operator, you can open the line for analyst Q&A.
Operator: Thank you. [Operator Instructions]. We'll go first to Mike Shlisky with D. A. Davidson.
Mike Shlisky: Yes. Hi. Good morning. Thanks for taking -- hi there. Thanks for taking my questions. Your commentary around the BEV sounded quite positive and what people have been saying about it so far. But last I heard, I know we've been going through a lot, but last I heard the plan was to kind of build those to order or only if a certain request comes in, it didn't sound like you were going to be marketing the product all that much. But now with BEV back on the road and some good feedback here, is there going to be a change in the strategy around that product? Do you actually intend to go out there and more actively market the BEV starting next year or is it still going to be much kind of a built-to-order, smaller volume product here?
Steve Girsky: So, our dealer basically, we have the flexibility, Mike, to do wherever the customer wants. And we seem to be getting a pull on this product. Right now, we're going to send back what we have in our inventory, which will be margin positive. So, once we grind through that, we can make a decision on what to do, but I just we are getting a pull from this product. And remember, we could sell this product anywhere in the country. So, TBD, but we will be grinding through -- go ahead Tom.
Tom Okray: Yea. Just to put a little bit more specificity on it, for in terms of the actual recall, we've returned 78 trucks as the prepared remarks said and we've got another 81 trucks in the recall that are pending. In addition to that, we've got almost 150 which is in Nikola inventory and not part of the recall. So, we're going to leverage that optionality to do what's best for the market. As Steve said and just to repeat, as we return these BEVs we are getting a strong pull for the market for use cases which are conducive to the BEV. So, we're going to play those two cards that we have for us in the right way.
Mike Shlisky: Okay, great. Moving on to a quick pricing question I had for you. I think I might have missed what you were talking about as far as why the ASPs were down. Maybe just review that part again, what was the best part of that? And I know there was still was some introductory pricing you mentioned on the fuel cell products. Any sense as to when introductory pricing and kind of a more everyday pricing strategy is going to start at your company or are we still just trying to get people to just try the product here?
Steve Girsky: Yeah. So, I think you have a couple of questions in there. Because of the 20 BEV returned slash repurchases that impacts our revenue, not our gross revenue, but our total revenue and our net revenue and it impacts the financials going through. So, to get a true picture, you need to really normalize for that. We believe these returns are just a point in time because we've got a customer for them in Q4 and so therefore it's going to be just Q3 to Q4 point in time. As it relates to ASP, we've kept about $370,000 per truck over the last several quarters. We think that that's a reasonable number. We're constantly balancing volume versus ASP. We think it's probably more important at least at this point in time to be able to get some scale for our operations and therefore in some cases we are more forgiving on ASP. But obviously over the long haul our intention would be to work that up and work the BOM cost down.
Mike Shlisky: Okay. And then one last one for me. I just heard the last few days or so another company has successfully tested a 200-kilowatt fuel cell truck. So that can get all the power that you need with just a single module or that's at least what it seems like to me. Can you update us on your R&D? Do you have a lot of improvement projects underway or is a lot of that kind of suspended until the capital situation is ironed out? Just kind of a bit aware there are other companies out there that are also making some products that are getting there to market and there's only so much that can go around at the current time.
Tom Okray: Yeah. So, I'll take that. So, we continue to work to make the existing product better. So, the new BEV we put into the market is better than the old BEV. We continue to focus on the cost and weight of our existing truck with an eye towards a next gen truck which will be much more efficient than the current truck. And just to be clear, we're happy other people are coming because this is a lonely business Hydrogen right now. So, we're happy that other people are coming, big companies, small companies more the merrier because we're trying to build out an ecosystem here. So yes, we are making incremental improvements to the existing truck, making it better, improving reliability and then and the fuelers also by the way need we're making incremental improvements on that with our partners. But we are actively looking at a next gen product, which will leapfrog what we have now.
Mike Shlisky: Okay. Thanks. I appreciate the discussion. I'll pass it along.
Tom Okray: Thanks, Mike.
Operator: We'll take our next question from [Indiscernible] with Wolfe Research.
Unidentified Analyst: Hey, guys. It's Cole on for Scott Group. Thanks for taking my questions. I think I heard earlier on the call that you guys mentioned that you had sufficient capital last through the first quarter of 2025. Do you guys expect that you'll need to raise capital after that at some point in 2025? And kind of what are the internal expectations for when you expect free cash flow to actually inflect positive?
Tom Okray: Yeah. So, let me try to unpack the cash flow. We mentioned it in the prepared remarks that you are referencing, but let me take a little bit of time to try to unpack it for everyone. We finished the quarter with approximately $198 million unrestricted cash. So, let's just round that to $200 million because it makes the math easier. The cash burn for the quarter was $162 million. That is higher than the prior quarter, which had a cash burn of $145 million and higher than the first half, which was $135 million per quarter. What's important to note in this quarter is there were some one time and some annual payments related to settlements, insurance policies. There were also some supplier negotiations in terms payments. If you normalize for those, then our $162 million gets very close to $145 million which was the last quarter. Now, if you do the math and you take the first half cash burn down from the $45 million a month to $30 million to $40 million a month that gives you five to six and half month’s runway, which is the basis for our prepared remarks. So, what we're doing now, as we've said in the answer to some of our questions, we are talking to a number of strategics, a number of people who are interested. And by the way, they continue to be excited by what we're building. As Steve says, we're one of the few out on the field with the hydrogen network. We're not only making the trucks, but we're putting in the infrastructure as well. So, there's very good interest from that. In addition, we're also working on our own self help. And if you do the math, our cash conversion cycle for example, improved 45 days since the end of Q1. We're working with car in terms of their speed to improve voucher processing. We're working with dealers in terms of floor planning issues. We're looking at our organization structure to make sure it's lean. We're being very rigorous and vigilant on discretionary cash. So, to sum it all up, we think we've got that runway of five to six months at $30 million to $40 million per month. And therefore, we are working right now to try to raise the necessary capital to give us the runway to go much further into 2025.
Unidentified Analyst: Okay, great. That's helpful color. And maybe just on deliveries, can you provide kind of how are deliveries trending quarter to date through October? And maybe just given we're getting close to the end of the year, what are some early expectations for 2025 deliveries? And if you could talk through maybe how customer conversations are progressing there and maybe informing your view would be helpful?
Steve Girsky: Yeah, we've got more potential than what we're guiding to in terms of wholesale deliveries for Q4. Now obviously you need to cut the deal and make that happen, but whenever you've got more prospects and more potential that gives you confidence and it's why we've guided as such. With respect to 2025, we'll talk to you about that at the Q4 earnings call.
Tom Okray: The customer feedback is good. The momentum is positive. Customer sat is positive, you see lots of testimonials, we get lots of feedback on that. So, it's about building a business. And again, we have the flexibility to switch between the two, which we haven't been taking advantage of and we'll be able to start taking advantage of that next year.
Steve Girsky: Yeah, and the business is really poised. And when you look at it, you've got government incentives which are assisting for a hydrogen economy. You've got automotive OEMs that have been working on fuel cells for quite some time and see this as a growth vector. You've got industrial gas producers that are looking for growth vectors and hydrogen can be a growth vector for them. And you've also got all of these national accounts and if you read their sustainability report, zero-emissions is very important to them and either for their trucking or their trucking partners. So, the pieces are all set. We just need to pull it together with the right partners and we're optimistic this thing can really take off.
Unidentified Analyst: Guys, I'll turn it back.
Steve Girsky: Thank you, Cole.
Operator: We'll take our next question from Tyler [Indiscernible] with BTIG.
Unidentified Analyst: Hi, everyone. Good morning. Thanks for taking the questions here. I appreciate it. Steve, I wanted to follow-up on your comments there in terms of the flexibility between the two trucks. How early of a decision and how quickly can you kind of manage the manufacturability of the two trucks? And maybe how early do you really need to make a decision if you were to have a line of sight that, hey, BEV capacity is pushing incremental demand as you were alluding to before? Just curious how you kind of think about that decision a little bit more nuanced.
Steve Girsky : We would need to make it three to six months in advance because there's some long lead items that we would have to buy to get the truck back, high voltage cables, things like that. So, we're in the market now. As Tom said, we're putting these back in the market. We have our own internal that will go back to the market. We can get that back. At the same time, we're doing price discovery, demand discovery. We're learning what people want. And if people want this truck and they're willing to pay for it, we're happy to give it to them.
Tom Okray: Yeah, and I think the important point to repeat is approximately 150 in our inventory and another 81 as part of the recall. So, you put those together, you got approximately 230 trucks that we have optionality with and we can use that to ease into any production ramp up if we decide to. It's also important to note that the battery packs, the BEV takes nine of them versus the fuel cell which takes two. So, we're balancing that in terms of mix also.
Steve Girsky: Yes. But just to be clear, we're rebuilding these. These are on a reman line to get the other ones the BEVs back into the line will take three to six months. So that would be a 3rd, 4th quarter benefit.
Unidentified Analyst: Okay. helpful.
Steve Girsky: And just to add to that, the reason the flexibility is important is we're managing customers, we're managing fuel, and we're managing the truck on the fuel cell side. So sometimes, the customers and the trucks get ahead of the fuel, sometimes they get behind. So, if we need to play catch up a little bit, the market we could supplement the market with BEVs.
Unidentified Analyst: Okay, great. Thank you for that. And then in terms of the wholesales for the fuel cells for the remainder of the year. As you kind of look at the order book here through the end of the year, what are the key factors here dictating the range in terms of the 300 to 350 for the rest of the year? And I guess how do you kind of think about the puts and takes there in terms of the low versus the high on that front?
Steve Girsky: I mean, we have a funnel that's fairly large. Whether they want to pull the trigger this year or next year remains to be seen. And then there's all this there's a bunch of incentive activity that's in play that may benefit this year versus next year, but time will tell.
Tom Okray: Yeah. I think whenever, Tyler, you're looking at a new technology and you're looking at new customers, national account customers, it's really hard to pinpoint where you're going to be in the range. That's why the range in Q4 you could argue maybe is a little bit wide. But as you can imagine, new technology, new customers have never done hydrogen before. It takes discussions and it takes time to really decide how much of that funnel is really going to be executed in terms of a wholesale delivery.
Unidentified Analyst: Okay. Thank you, guys. I really appreciate the time today. I will turn it back to the queue.
Tom Okray: Thanks, Tyler.
Operator: We'll take our next question from Ben Kallo with Baird.
Ben Kallo: Hi, good morning guys. Thank you for taking my question. Just kind of following on the last question. Could you just talk about the rate of purchasing from existing customers? How you see that trending? They're piloting and then it moves on to bigger orders or is there a wait and see for infrastructure or any kind of color you could give us on that?
Steve Girsky: So, we have repeat customers. Some are fairly large. Some require fuel. Connecting north to south will be a big enabler here because we haven't really sold a lot of trucks in Northern California yet. So, there is but we listen -- part of our strategy, Ben, is to see the market with a lot of different fleets doing a lot of different things. So, 16, 17 different fleets are running the fuel cell, 19 are running the BEVs. We're accumulating data around this, so we're ecstatic because the ultimate say on the truck is do you buy more. So, our static that they want to buy more, but we really want to seed lots of different fleets with so we can accumulate data on what's the best use case of a fuel cell versus a BEV.
Tom Okray: And Ben maybe I can add a little bit more color in terms of that national account purchase. I mean typically it requires a pilot and those pilots can vary in duration depending on company's desire. And then I think it's also important to note, there is a natural tension within any sort of national account company. You've got the sustainability arm which is really looking at putting this into their fleet. You've got the logistics arm which is pennies per mile in terms of cost. And then you've got the senior leadership that is trying to put this all together in way the sustainability commitment with the cost commitment with the new technology. So, it's not a layup so to speak, it's not a half-court shot either, but it's something that we're getting better at working at, building the connections within those companies, and it's building the relationships, letting them demo the truck, demystifying the hydrogen, making sure that we can commit to them that the fueling is going to be up and reliable. So, it's a process, but it's a great prize at the end because these companies that care about the environment and care about the hydrogen economy get to actually utilize one of our vehicles to execute to that.
Steve Girsky: And remember, Ben, this isn't just about doing what everybody else is doing and trying to do it better. We're doing something that nobody else has done yet. And it's not easy. We grind through it every day, but that's why people show up to work here.
Ben Kallo: Thank you for that. In the past, you guys have given a number of trucks to get to breakeven EBITDA. Is there a number has that changed? If you remind us what that number is? I know you guys are doing a lot in the cost front too and just if you could revisit that. Thank you.
Steve Girsky: Yes, it's a good question Ben. The neighborhood or the zip code of the number hasn't changed. I don't want to talk about it specifically on the call, but I would point you back to the flywheel. I mean the only way that we are going to improve the unit economics is to build the scale. So, it gives the supplier partners confidence that they can invest and optimize the lines that produce the material that comes to us. So, the volume is key. I won't mention a number today, but that is very key part of the flywheel.
Ben Kallo: Okay. Thank you, guys.
Steve Girsky: Thanks Ben.
Operator: That will conclude our question and answer session. I'd like to turn the call back over to Soei for any additional or closing remarks.
Soei Shin: Thank you, operator. We appreciate everyone joining us this morning. And on behalf of all Nikola employees, we thank you. Have a great day.
Operator: That will conclude today's call. We appreciate your participation.